Operator: Good afternoon, ladies and gentlemen, and welcome to the Alexander & Baldwin Third Quarter 2025 Earnings Conference Call. [Operator Instructions] This call is being recorded on Thursday, October 30, 2025. I would now like to turn the conference over to Tran Chinery. Please go ahead.
Tran Chinery: Thank you, operator. Aloha, and welcome to Alexander & Baldwin's Third Quarter 2025 Earnings Conference Call. With me today are A&B's Chief Executive Officer, Lance Parker; and Chief Financial Officer, Clayton Chun. We are also joined by Kit Millan, Senior Vice President of Asset Management, who is available to participate in the Q&A portion of the call. During our call, please refer to our third quarter 2025 financial presentation available on our website at investors.alexanderbaldwin.com. Before we commence, please note that statements in this presentation that are not historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and involve a number of risks and uncertainties that could cause actual results to differ materially from those contemplated by the relevant forward-looking statements. These forward-looking statements include, but are not limited to, statements regarding possible or assumed future results of operations, business strategies, growth opportunities and competitive positions. In addition, words such as believes, expects, anticipates, intends, plans, estimates, projects, forecasts and future or conditional verbs such as will, may, could, should and would as well as any other statement that necessarily depends on future events are intended to identify forward-looking statements. Such forward-looking statements speak only as of the date the statements were made and are not guarantees of future performance. Forward-looking statements are subject to a number of risks, uncertainties, assumptions and other factors that could cause actual results and the timing of certain events to differ materially from those expressed in or implied by the forward-looking statements. These factors include, but are not limited to, prevailing market conditions and other factors related to the company's REIT status and the company's business and the risk factors discussed in Part 1, Item 1A of the company's most recent Form 10-K under the heading Risk Factors, Form 10-Q and other filings with the Securities and Exchange Commission. The information in this presentation should be evaluated in light of these important risk factors. We do not undertake any obligation to update the company's forward-looking statements. Management will be referring to non-GAAP financial measures during our call today. Please refer to our statement regarding the use of these non-GAAP measures and reconciliations included in our third quarter 2025 supplemental information and presentation materials. Lance will start today's presentation highlighting Alexander & Baldwin's third quarter highlights and CRE results and then hand it over to Clayton for a discussion on financial matters. To close, Lance will return for final remarks and open it up for your questions. With that, let me turn the call over to Lance.
Lance Parker: Thank you, Trent. That was a lot. Great job. Aloha, and thanks to everyone joining us on the call today. Overall, our third quarter results exceeded expectations, and I am pleased by the progress we've made throughout the year. Our full year outlook remains positive. And as a result, we are raising our FFO guidance. Turning to quarter highlights. Our CRE portfolio performed in line with expectations and experienced same-store NOI growth of 0.6% for the quarter. Subsequent to quarter end, we executed a renewal with an anchor tenant in Kailua Town at an 11% lease spread, reflecting continued leasing strength. On the internal growth front, we continue to build momentum. At Komohana Industrial Park in West Oahu, we broke ground on two new buildings, a 91,000 square foot warehouse pre-leased to Lowe's and a 30,000 square foot one on spec. We've already seen early interest in Building 2, underscoring demand for newly constructed industrial product in the market. We expect both buildings to be placed into service in the fourth quarter of 2026 and generate $2.8 million in annual NOI when they are stabilized in the first quarter of 2027. On Maui, vertical construction at our build-to-suit project at Maui Business Park remains on schedule, with completion anticipated in the first quarter of 2026. This project is expected to add approximately $1 million in annual NOI when it is complete. Earlier this year, we executed a strategic backfill at Kaka'ako Commerce Center, successfully leasing two challenging vacant floors to a single tenant, bringing occupancy to 96.3%. During the third quarter, the company completed all required contingencies and the tenant exercised their option to purchase 3 floors. This transaction provides an additional source of capital for future acquisition opportunities. On the external growth side, we're seeing increased momentum in the Hawaii investment market, including three large portfolios being marketed for sale, and we are actively pursuing acquisition opportunities aligned with our long-term growth strategy. Turning to our third quarter CRE highlights. We executed 49 leases in our improved-property portfolio, representing approximately 164,000 square feet of GLA, and $3.3 million of ABR. Our blended leasing spreads increased 4.4% on a comparable basis. Our leased occupancy was 95.6%, 160 basis points higher compared to the third quarter of last year and 20 basis points lower sequentially. Economic occupancy at quarter end was 94.3%, 130 basis points higher than the same period last year and 50 basis points lower than last quarter. SNO at quarter end was $6.4 million, including $3.1 million related to our two build-to-suit projects and $700,000 for our ground lease at Maui Business Park. We remain confident in our full year outlook. Our CRE portfolio continues to perform well, and I'm encouraged by the progress across our internal and external growth initiatives. With that, I'll turn the call over to Clayton to discuss financial results and our full year outlook. Clayton?
Clayton Chun: Thanks, Lance, and Aloha, everyone. Our portfolio generated $32.8 million of NOI in the third quarter, representing an increase of 1.2% over the same period last year. This growth was primarily driven by higher base rent year-over-year. Same-store NOI was $31.9 million for the quarter, a 60 basis point increase year-over-year. Consistent with our prior guidance, we experienced modest growth in the third quarter. This was due primarily to the impact of tenant move-outs that occurred earlier this year, and have since been backfilled and onetime recoveries in Q3 of 2024. Additionally, higher bad debt expense related to a few isolated tenants further tempered growth in the quarter. Third quarter CRE and Corporate-related FFO per share of $0.30 grew $0.02 or 7.1% from the same quarter last year. This improvement was attributed to lower G&A and higher portfolio NOI. Total company FFO for the quarter was $0.29 per share. In addition to the $0.30 from CRE and Corporate previously mentioned, FFO for the third quarter included an operating loss of $298,000 from Land Operations as there were no land parcel sales in the quarter. Annual carrying costs in Land Operations continues to be in the range of $3.75 million to $4.5 million. G&A was $6.1 million for the quarter, approximately $1.4 million lower than the same period last year, primarily reflecting certain nonrecurring and transaction-related items as well as the timing of recurring expenses. In line with prior guidance, we expect full year G&A to range from flat to $0.01 per share lower as compared to 2024. As Lance mentioned earlier, a tenant at Kaka'ako Commerce Center has exercised its purchase option of three floors, two of which they currently lease. The sale is expected to close in the first quarter of 2026 and will generate $24.1 million of proceeds that we expect to recycle into an acquisition property via a 10/31 exchange. Turning to our balance sheet and liquidity. At quarter end, we had total liquidity of $284.3 million, and our net debt to adjusted EBITDA ratio stood at 3.5x. Approximately 89% of our debt was at fixed rates, and our weighted average interest rate was 4.7%. Consistent with historical practice, the company's Board of Directors plans to declare a fourth quarter 2025 dividend in December with payment in January. Given our year-to-date performance, we are pleased to update our 2025 guidance as follows. We are reaffirming our guidance of full year same-store NOI growth of 3.4% to 3.8%. Implied in this guidance is our estimate for the fourth quarter, where we expect a 4.4% same-store NOI growth at the midpoint. We are raising our guidance for CRE and Corporate FFO and expect our full year results to be within a range of $1.13 to $1.17 per share due primarily to the lower-than-expected interest expense in the third quarter. Total FFO is now expected to be $1.36 to $1.41 per share, up $0.01 from our previous guidance. We feel confident about our portfolio, and we've positioned ourselves to close out the 2025 year strong. With that, I will turn the call over to Lance for his closing remarks.
Lance Parker: Thank you, Clayton. To wrap up, I'm pleased with our overall performance. This is the third consecutive quarter we've raised guidance, reflecting our continued confidence in the full year outlook. Our CRE FFO for the year has outperformed initial expectations, driven by strong portfolio performance, better-than-expected expense management and steady progress across our growth initiatives. As we look ahead, we remain optimistic about how the year is shaping up and focus on executing our strategy to drive long-term value for shareholders. With that, I'd like to turn the call over to questions.
Operator: [Operator Instructions] Your first question comes from Rob Stevenson of Janney.
Robert Stevenson: Either Lance or Clayton, can you talk about when the $6.4 million of ABR from the SNO leases start to impact earnings or the bulk of that as we start thinking about 2026 in our model? Is that like halfway through the year? Is that towards the end of the year? How should we be thinking about when that $6.4 million comes online?
Clayton Chun: Rob, this is Clayton. So I'll start off and then either Lance or Kit can chime in and elaborate. But with respect to the SNO, we typically anticipate normal SNO to become economic over like 9 to 12 months. What's embedded in the SNO importantly is a couple of our development projects that are currently ongoing. And so one of those is a build-to-suit on Maui, and that's about $1 million, and that's expected to come economic in Q1 of next year. We also have Komohana, which is a build-to-suit for Lowe's. And that one is going to be really more in the fourth quarter or Q1 of 2027 time frame, and that was about a couple of million.
Robert Stevenson: Okay. That's helpful. The -- you said that the $24 million that you're getting on the purchase option that you're going to 10/31 that. Has the asset that that's going to be rolled into been identified yet? Or is that still to be determined?
Lance Parker: Rob, it's Lance. No, it has not yet been determined. I've spoken in the past just about the fact that our market is starting to open up from an investment standpoint. There's a few active portfolios being marketed. So our investment team has been really busy in underwriting opportunities. We feel confident, particularly given the timing that it won't close until Q1 of next year that we'll have sufficient time to identify and close on the uplink.
Robert Stevenson: Okay. And then, Clayton, you said that you're still expecting -- despite the reduced G&A in the quarter, you're still expecting sort of flat to $0.01 a share lower versus '24. If I look at '24, you were just under $30 million. You're at, call it, $20 million year-to-date. And so is that you guys are going to be somewhere between, call it, $9 million to $10 million of G&A in the fourth quarter. That sounds right?
Clayton Chun: We are expecting an uptick in G&A in the fourth quarter. I think if you do the math, it would be around 9-ish. But what that's really reflecting is just we did have some timing differences that were part of our Q3 numbers. And so there's some element to that. In addition, we've been pretty open about the fact that we've been actively pursuing opportunities in the market. And so our guidance does reflect that there would be some transaction-related costs associated with those pursuits. Now having said that, we are taking steps to mitigate these items and control costs to the extent that we're able to, but that's really what our G&A guidance currently reflects.
Robert Stevenson: Okay. And then last one for me. Did you guys -- did the entirety of the Sam's Club TI hit in the third quarter? And if so, what was that?
Clayton Chun: It did. We paid that out, and it was about $19.6 million.
Operator: Your next question comes from Alexander Goldfarb of Piper Sandler.
Alexander Goldfarb: So just a few questions. First, and forgive me, my Hawaiian is not good, so if I butched the name. Kaka'ako, the two floor sale in that asset. Is that something common that you have in other properties? And do you have it in the rest of this building? Just we normally don't see tenants sort of buying out their floors. Yes, we see that overseas in various foreign markets, but in the U.S., a little less common. So just curious if there are other buildings or other parts of this building that have that same structure and if that's something that we may see more of as a way for you guys to extract value.
Lance Parker: Alex, it's Lance. I'm going to give you a solid sea on the Hawaiian because you nailed the first half. The second half of the pronunciation was a little rough, but I appreciate the effort. So Kaka'ako Commerce Center, if you may recall, that is a 6-story industrial building that we own in urban Honolulu. We had one floor that was vacant in all of 2024. It was the sixth floor. It was pretty challenging. So first, I just want to kind of commend the team for coming up with a really creative solution that allowed us to backfill not just that floor, but a second floor to the same tenant. And one of the ways that we attracted this tenant is we actually put a CPR or a condo map on the building so that we could divide each of the 6 floors into individual units. And we provided an option to that tenant to purchase, which they have now exercised. So it is unique to the space. It's a unique building. We don't have anything else like it in the portfolio. But again, it was a really creative solution, one, to take the overall leased occupancy in the space to over 96% and then allow us to extract some capital and recycle it into other strategic investments.
Alexander Goldfarb: Okay. The next question is, I appreciate the commentary on the land overhead, the $0.01 loss just because there are no land sales. Is that something that we should think about for next year, like as we're modeling '26, just think about that there's a negative $0.01 per quarter if there aren't any land sales?
Clayton Chun: So Alex, it's Clayton. So with respect to next year, as you know, we haven't guided for 2026 at this point. Now having said that, what we have provided guidance on is the run rate for Land Operations. And so in that, we have indicated that there's $3.75 million to $4.5 million, which is the annualized run rate. We are very conscious and taking steps to manage those costs as best as possible. As we're able to further monetize and streamline, we're going to be bringing that cost down further. But at this point, this is what we have for our run rate, and we'll give you more information in the fourth quarter as we guide to 2026.
Alexander Goldfarb: Right. But basically, absent land sales, it's $0.01 a quarter is the drag.
Lance Parker: We do also have some offsetting revenue. We've got some land leases in some of the non-core assets that we still own in Land Operations. But to Clayton's point, in the absence of any activity, which we have typically not guiding to because we acknowledge it's episodic, you should or could expect a modest loss in the Land Operations division.
Alexander Goldfarb: Okay. And then just finally, on the rent spreads, first of all, great to see you guys raising guidance. So I don't want to take away from that. But on the new rents, recently, they've been slightly negative. And the renewals have been positive, which is great. But just sort of curious, why would -- I usually would see like new rent spreads would be much higher than renewals, and here, you guys seem to be trending the reverse. So is there something peculiar about the past number of quarters, the types of deals that have been rolling? Or what else is sort of driving this dynamic?
Lance Parker: Well, I'll start first with just what happened in Q3, Alex. And I think it's sort of a similar dynamic for prior quarters where in some cases, and it certainly was this past quarter, we have one tenant that sort of disproportionately impacted our numbers.
Alexander Goldfarb: Yes. Yes. You guys have talked about...
Lance Parker: Yes. So in this case, it was one tenant in Kailua, and we had basically moved the use from a residential brokerage operation to a PoleArity Studio. That deal, it was more about the fact that the prior tenant was above market than it was that the new tenant was below market. But just for context, I mean, we're talking about a 2,000 square foot space and the absolute dollar impact was about $33,000 of ABR. So at least from our perspective, it's more just -- it was a deal as opposed to anything that's reflective of the portfolio as a whole.
Alexander Goldfarb: Okay. Yes. I mean when you look at the volume, it's pretty clear the new deals are very -- it's a very small sample set versus the renewals more robust, which is why I asked if it was just the peculiarities of what it was. So that's helpful.
Operator: Our next question is from Mitch Germain of Citizens Bank.
Mitch Germain: Do you guys have the same-store number if you remove that onetime item in the prior, I think you had onetime reimbursement. If you remove that, where would your same-store have been for the quarter?
Clayton Chun: Mitch, it's Clayton. So I'll take that one and Kit can chime in to the extent needs more elaboration. But our same-store NOI growth, it was impacted by a couple of key factors there, one of which was the onetime item related to bad debt. We also had a couple of nonrecurring items related to real property tax that really was pertaining to Q3 of last year. And so if you were to take those into account as well as some move-outs, we actually quantified that to be about 370 basis points collectively. And so that would have got you more in line with what we were experiencing same-store NOI growth for the first half of the year. So three main factors, just to recap, it's the bad debt, there were the RPT onetime items that related to last year, and then we had known move-outs that happened. And so that was economic in Q3 of last year, but not this year.
Kit Millan: I just wanted to add also, I think it's important to note that those no move-outs, all of them have been backfilled. They're not all economic yet, but they will all be economic in Q1. And the final one is the Komohana ground lease that we are now converting to a new build and space lease property.
Mitch Germain: Perfect. Lance, you seem pretty bullish about acquisition prospects. It seems like that tone has continued. I'm curious about the competitive landscape. And are you seeing a lot of that private capital back now that the lending markets appear to be a little bit more efficient currently?
Lance Parker: So we've talked in the past, Mitch, just about the typical construct of the competitive market that we play in where typically lower-priced assets from a -- just a dollar standpoint. We're usually competing with local buyers, sometimes smaller family offices here. And then when we get into larger assets, typically $100 million plus, you'll start to see Mainland capital, whether it's on the private side. Rarely, we'll see any public. We don't have too many REITs in our asset classes. And kind of that middle space is where we tend to see less competition from the extremes. So specifically to what we're seeing in the market, look, we're just really sort of seeing it open up. I referenced a few portfolios. So there's two retail portfolios that are currently being marketed. There's an industrial portfolio that's currently being marketed. Portfolios and scale typically are larger and more expensive. And so we are seeing some Mainland capital explore the marketplace sort of typical in terms of the types of people that we compete with. And then usually, where we have the competitive edge against buyers like that is the fact that we're here, we're local, and we know the assets typically better than Mainland buyers. And so we're optimistic that we'll be able to make some of these or other opportunities that we're looking at work. Obviously, at the end of the day, it's going to be subject to pricing. But hopefully, that gives you just some color in terms of what we're seeing in real time.
Operator: Your next question comes from Brendan McCarthy from Sidoti.
Brendan Michael McCarthy: Just wanted to start off looking at the ground lease portfolio, the 36-acre industrial space. I know that, that was up for renewal, I think, this year. Just curious if you can provide color on how we can think about the renewal process there? Or I think I noticed in some marketing materials that you're considering developing that internally. I think it's the HART yard. Just curious as to how we can think about that asset.
Lance Parker: Brent, it's Lance. So we've talked about the likelihood of that ground lease renewing. We still have that perspective. I think it's highly likely that we end up renewing the tenant there. We are in early discussions despite the fact that it does naturally expire at the end of this year. So premature to provide any color in terms of where we think that ends up. And then longer term, we have been articulating just the internal growth path that we have as a result of our land inventory. Some of it is currently ready to build in Maui Business Park. Others in Kahului, like this 36 acres is currently under covered ground leases. So we're getting active income while we can plan. But that's really more sort of longer-term value creation once we get through the renewal process, and that probably takes us out a few more years before we go active on that.
Brendan Michael McCarthy: That makes sense. And any detail on the potential ABR step-up opportunity there with the renewal?
Lance Parker: Again, just because this is sort of live, probably inappropriate and premature for us to discuss. But hopefully, by our next call, we'll have more insight in how that kind of played out.
Brendan Michael McCarthy: That makes sense. Understood. And then looking at capital allocation, I know you discussed a favorable outlook, improving outlook on the deal market and then you have these internal development opportunities. How can we kind of think about share buybacks? I know we discussed this on a previous call, but considering where the share price is, is that -- are share buybacks something that you're increasingly looking into?
Clayton Chun: I'll take that. Brendan, it's Clayton. So yes, with respect to the share repurchases, we do have a program that is in effect, and that is one of the tools that we have in our capital allocation toolkit. So obviously, as the stock price fluctuates, that does weigh into our consideration. But at the end of the day, we kind of look at capital allocation just from a risk-adjusted return perspective. And so that would entail whether it's placing capital for acquisitions, for internal development opportunities as well as share repurchases. And so we are considering that, and we'll make decisions according to the opportunities that are in front of us.
Operator: [Operator Instructions] Your next question comes from Gaurav Mehta of Alliance Global Partners.
Gaurav Mehta: I wanted to ask you on the portfolios that you discussed. I think you said two retail and one industrial. Can you provide some color on what kind of pricing and cap rates are you seeing on those portfolios? And just to clarify, are those portfolios you're looking at for your own acquisition or they are being marketed for sale in the transaction market?
Lance Parker: Gaurav, it's Lance. Just because these are live deals, I'm not sure it would be appropriate for me to talk about our perspective on cap rates. And just to the second part of your question before I just provide a little bit more detail, I would say, look, we look at every opportunity that comes into the market. We typically don't talk about deals that we're actively pursuing or actively considering until we get further along in the process, typically after we close. But that all said, our perspective on the market in general is sort of holding from where we were last quarter. I would say, expected pricing in the market, call it, 5 to 6 cap type deals in general. And you may see flex on either side of that depending on the type of asset we're looking at, depending on the quality of the property that it may be. So value-add type deals, for example, you would expect to see some expansion on that cap rate. Ground leases, you would expect to see some compression on those cap rates. But in general, that's sort of our perspective of where the market is today.
Gaurav Mehta: Okay. Second question I wanted to ask you on your office portfolio. The office property, Lono Center, I noticed the occupancy on that property is 37%. I just want to get some color on that property and generally, what you're thinking about your office portfolio? Is that something you want to hold? Or is that something you want to recycle at some point?
Lance Parker: So Lono Center is actually one of two office buildings that sits on a 19-acre block that we own in Kahului on Maui. We purposefully were driving occupancy away from that building into our Kahului office building. And the thinking was that could have been an individual disposition, maybe even an owner-user type sale. But we do have that 19-acre block currently on the market. We have it listed for sale. We've been in discussions with a buyer. I think we may have disclosed that last quarter. So we are actively looking to dispose of what we've talked about in the past, again, is nonstrategic asset class for us, recycling that capital into more strategic investments. And so as we sort of head into the end of the year, we can probably provide a little bit more color in terms of where that process stands.
Operator: There are no further questions at this time. I will now turn the call over to Clayton Chun. Please continue.
Clayton Chun: Thank you, operator, and thank you all for joining us today. If you have any follow-up questions, please feel free to call us at (808) 525-8475 or e-mail us at investorrelations@abhi.com. Aloha, and have a great day.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.